Operator: Welcome to the Gevo Incorporated Q4 2019 Earnings Conference Call. My name is Adrian and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note this conference is being recorded. I will now turn the call over to General Counsel, Geoffrey T. Williams Jr. Geoffrey Williams Jr., you may begin.
Geoffrey Williams Jr.: Good afternoon, everyone and thank you for joining Gevo’s fourth quarter 2019 earnings conference call. I would like to start by introducing today’s participants from the company. With us today is Patrick Gruber, Gevo’s Chief Executive Officer; Lynn Smull, Gevo’s Chief Financial Officer; and Carolyn Romero, Gevo’s Vice President and Controller. Earlier today, we issued a press release that outlines the topics we plan to discuss today. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and that we are providing a simultaneous webcast of this call to the public. A replay of today’s call will be available on Gevo’s website. On the call today and on this webcast, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred, including, but not limited to, projections about Gevo’s operating activities for 2020 and beyond. These forward-looking statements are based on management’s current beliefs, expectations and assumptions and are subject to significant risks and uncertainties, including those disclosed in Gevo’s Form 10-K for the year ended December 31, 2019, which was filed with the U.S Securities and Exchange Commission or SEC and in subsequent reports and other filings made with the SEC by Gevo, including Gevo’s quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date and Gevo disclaims any obligations to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. On today’s call, Pat will begin with a discussion of Gevo’s business developments, Lynn will then discuss Gevo’s financing efforts; and lastly, Carolyn will review Gevo’s financial results for the fourth quarter of 2019. Following the presentation, we will open up the call for questions. I will now turn the call over to Pat. Pat?
Patrick Gruber: Thanks, Geoff. Our goal in 2019 was to secure 10 million gallons per year of a combination of isooctane for gasoline and renewable jet fuel under take-or-pay contracts. Instead, we achieved 17 million gallons per year. These contracts represent over approximately $500 million of revenue across the life of the contracts. We were able to successfully find pricing that should work for us and the customer that is a big deal, a major milestone. For us, that was the last big outstanding question in the marketplace. We had to be able to find pricing that gives attractive returns, so that we can attract investors to build out the capacity we need. It’s a relief to get this many gallons locked up and see that there are many more potentially coming. It’s also a relief to have these gallons under take-or-pay contracts. We needed the take-or-pay to stand a chance of obtaining the project financing that we are going to need. Our story, our products, our technology are resonating in the market. The vision, whole gallons, net neutral fuels that catches people’s attention and causes us to think differently about what is possible. Whole gallon means that our technology had the potential over time to form the basis for a whole gallon of fuel, no matter whether it is jet, gasoline or diesel fuel. And we have been able to show that there is potential to do that with a net zero or even negative greenhouse gas emissions. Now, in order to accomplish net zero missions, it requires that the carbon source is sustainable and renewable that will reduce or eliminate the fossil resources required for the energy of production. By that, I mean the electricity or the gas for the boilers. Just last week, we had the ribbon cutting for the grand opening of the wind towers dedicated to supply our Luverne site, goodbye to fossil-based electricity for Luverne. We are also developing biogas projects that would use renewers of feedstock and then the biogas output will be used to displace the fossil-based natural gas at our Luverne plant. We expect to get these biogas projects funded this year and operational next year, more on that in a bit. Now, going back to the bigger picture for a minute, the demand for renewable jet fuel is increasing as airlines and other fuel uses of suppliers are being pressured to address greenhouse gas emissions. We think that this pressure is going to continue and build over the long run. Already, countries such as Sweden and France have begun to mandate sustainable fuels, which is why SAS and Air TOTAL are customers. In California, the low carbon fuels policy provides incentives to low carbon fuel products. And that California policy has become even more solid and entrenched. It isn’t going away and that gives investors’ confidence. Not only that, similar types of policies have been adopted in New York and Oregon. Washington and several Midwestern states are likewise discussing how to make low carbon fuel policies happen or create other incentives. In the European Union, they are pushing ahead with requirements to reduce fossil carbon emissions with the EU RED and RED II policies. Companies have to comply. In addition to policies, we are also seeing major brands recognize that they need to do something about their fossil footprint. Consumers demanded. ESG investors demanded. In fact, already we are supplying some companies quietly for the limited capacity that we have. We are seeing increased demand for renewable isooctane for gasoline, because the demand for high octane gasoline at the pump is increasing. This is due to consumer demand because of new cars with new high miles per gallon engines. What better product to deliver high octane than octane itself like we make. I think the demand for our isooctane could be at least as big if not bigger than jet fuel over the long run. As the side note, I was looking at projections for liquid transportation fuels out to 2050. I was surprised that the EIA and the IEA even when taking into account growth in electric vehicles, the demand for liquid transportation fuels is roughly similar as today. That is scary from a greenhouse gas point of view. In addition to the 17 million gallons per year that we currently have under contract, we expect to have more take-or-pay gallons under contract soon and the additional volume makes us believe that we will need yet another plant built with much bigger volume than Luverne. And we believe we would likely needed it to have it come online soon even maybe in the same timeframe as Luverne. So to that end, we are already looking at several new sites for production. Our plan is for our large build out to be online in 2023 assuming we get the financing in place. With the take-or-pay contracts that we have and will have in place, we’ve got a tiger by the tail. It’s a good problem to have for our business. So with 17 million gallons, that considering the next large chunk of gallons we are going to get, we are able to shift our commercialization plans a bit. Previously, we assume we need a smaller plant than Luverne, about 10 million gallons per year of hydrocarbons and that we would have to raise money at Gevo Inc. and use Gevo Inc. equity for the plant capacity build. Instead of Gevo Inc. putting up the equity needed for the plants, we plan to step into the role of developer, licensor and plant operator, but not an owner per se, except perhaps, there is minority participation forward contributions already made. As we build out capacity, we believe that the assets and liabilities will not be part of Gevo’s balance sheet. With the increasing concern over greenhouse gas emissions and their impact on climate change, we expect to attract both equity and debt financers as a result. We have all seen how equity funds at banks are shifting away from investments and fossil fuels saying they want to move towards sustainable products, good, good, that’s good for us. The momentum for low carbon defossilized fuels in the marketplace is in our favor. We are in the process of hiring a strategic advisor in the near future to help us sort out our strategic actions and to aid a security financing to the large scale build-outs we are planning. The economics of our plant build-outs as a project look attractive. We have achieved another important set of milestones in 2019 that folks might have missed. We obtained certifications from ISCC and RSB, both of whom are well-known sustainability auditors. By obtaining these certifications, we are proving that carbon reductions are real and that a business system like ours really can’t lower the carbon footprint of fuels or even eliminate them. These certifications have been noticed in the marketplace and contribute to us getting contracts done. Now, back to our biogas projects, instead of Gevo investing in our biogas projects, we are planning on taking a developer approach here too. That means we currently do not have plans to invest Gevo Inc.’s money into the biogas projects other than that what we have already spent as a developer. We do expect to become off-takers for the portion of the biogas that we need to lower our carbon footprint at the Luverne plant. We believe that the economics of the biogas project will attract equity. And as we mentioned before, we have already raised the debt. We expect that the biogas will become available to us for our boilers at Luverne in 2021. You all probably know that we have ethanol capacity at our Luverne plant. I haven’t said this next part quite this bluntly before, but I want everyone to understand this. Ethanol is a non-strategic product for Gevo. As we develop plans for larger hydropower capacity at the Luverne facility, we may see ethanol production once expanded isobutanol and hydrocarbon plants begin operation around 2023. In 2019, we ran ethanol when we believe we had positive contribution margin. It was a hard year for ethanol. The marketplace is terrible. Now, in 2020, we plan on doing the same thing. Between now and 2023, we do expect to improve the profit margins for our ethanol even if the basic ethanol commodity markets are crazy. And we can do this by qualifying for the low carbon fuel standard in California first from using renewable electricity and by implementing other plant improvements to reduce our carbon score and that we would expect to translate to improve margins on ethanol. Then in 2021, we expect that biogas for our Luverne plant will be online lowering our carbon score further increasing our margins further. Those margins are expected to help the profitability of the Luverne plant. Of course, we shall keep in mind that renewable electricity and renewable biogas are something we want in place for our jet fuel and isooctane build-outs. Turning to recent events, I have been asked about the impact of coronavirus on our jet contracts. The simple answer is that we don’t have any. Airlines certainly do have their hands full today, but the reality is that we already have the jet gallons that we needed under contract. Actually, we have more than planned. And it’s good I suppose that we don’t have to deliver fuel until 2023/2024 timeframe for those large contracts. Of course, with the long run, airline travel isn’t going away, it will be back, neither the way as it comes back they still have their fossil fuel footprint that has to be dealt with, their greenhouse gases and their pollution problems. Even in the midst of all this turmoil, there are still players. Even with all the distraction over the last few weeks, who need jet fuel in future, they know they need it. They haven’t lost focus. And they are still moving forward on contracts. So, I suspect and believe we will get some additional contracts in not too distant future. Now, our isooctane customers don’t appear to be impacted at all. Isooctane need is clear. As far as the Saudi-Russian oil price war goes, well, terrible timing, it too will pass. I don’t know where price oil prices will settle eventually. The good news is that we have already assumed pretty cheap oil prices when calculating returns from our big plant project build-outs. They are attractive. And as we know from our history, oil can swing wildly. And while none of us know what the future holds, it’s worth noting that our production costs don’t have the volatility that oil brings. Sustainable corn as a feedstock has a built-in hedge both from the protein feed products that track with the value of corn and in the future, I think that the carbon value tied to corn will also be of help too. Now, on the market side, consumers aren’t going to give fossil fuels a pass. It’s the belief probably even heightened these days that climate change is an existential threat to yours. It’s simply a question of when we crossed the point of no return. That seems to be the growing belief of consumers, especially younger ones. Products such as ours are designed to directly address greenhouse gas issues associated with transportation fields and be a part of the solution. The potential whole gallons, net zero or lower emissions demand is increasing. We have a solution that works. We need to make it a big business. Look, reducing and eliminating greenhouse gases and pollution across business systems matters even in this crazy world and more so in the future. Okay then, this year is all about arranging financing both equity and debt. We also expect to land more contracts, pick a second site and get on with building good business. We have recognized the potential to make this business really large is real. We are seeing the contracts. We figured out the pricing. We know that pricing can drive large scale. Yes, we will have to raise money, no question, but the vast bulk that we would be expected to raise will be off balance sheet project financing. We have done the economics around the projects, they are attractive. We already know from initial conversations with potential financiers that they like what they are seeing. We just got to bring it home and get it done and now that brings me to introducing Lynn Small who I hired specifically because of his project development expertise. Lynn, I hand the call over to you.
Lynn Smull: Thank you, Pat. This is my first earnings call. I am very happy to be here. I joined Gevo, because I could see that the technology has proven, the products are increasingly in demand in my career experience, particularly around project finance can be put to immediate use. Because we have take-or-pay contracts and the business has been substantially de-risked, we are well-positioned to secure both debt and third-party equity for the project financings that Pat mentioned. We expect to establish the financings at subcompany special purpose entity levels, which will avoid dilution that would normally be associated with on balance sheet plant constructions. As Pat mentioned, contract terms are settling down and with that cornerstone detailed modeling indicates the projects will yield pro forma financial returns that are attractive on a risk adjusted basis thereby enabling us to secure necessary debt and equity construction capital. We are also in the process of engaging a blue chip financial advisor to take on the project capital structuring and placement lead on both debt and equity as well as to perform strategic advisory roles at the parent entity level. We are moving along in the process of selecting a credible and capable EPC firm that can mitigate completion risk to the levels customary in the project finance discipline as well as commencing various other development activities necessary for financing. I am delighted to be here. I am looking forward to getting the initial projects off the ground and to positioning Gevo for financial success. Now, I will turn the call over to Carolyn who will take us through the financials. Carolyn?
Carolyn Romero: Thank you, Lynn. Gevo reported revenue in the fourth quarter of 2019 of $6.9 million as compared to $6.6 million in the same period in 2018. During the 3 months ended December 31, 2019, hydrocarbon revenue was $1 million compared with $100,000 in the same period in 2018. Hydrocarbon sales increased because of higher production volumes at the South Hampton facility. During the 3 months ended December 31, 2018, Gevo reduced production at the South Hampton facility to upgrade the facility and to double production capacity. During the 3 months ended December 31, 2019, revenue derived at the Luverne facility for ethanol sales and related products was $5.9 million, a decrease of approximately $0.6 million from the same period in 201. As a result of an unfavorable commodity environment during the 3 months ended December 31, 2019 compared with the same period 2018, Gevo reduced its production of ethanol and distiller grain, which resulted in lower sales for the period. Cost of goods sold was $9.4 million in the fourth quarter of 2019 versus $9.7 million in the same period in 2018 primarily as a result of decreased production at ethanol during the 2019 quarter. Production was decreased due to an unfavorable commodity environment largely the result of greater corn costs as compared to national markets that the region has historically experienced. Gross loss was $2.5 million for the fourth quarter of 2019 versus $3.0 million for the fourth quarter of 2018. Research and development expense decreased by $0.9 million during the fourth quarter of 2019 compared to the same period in 2018 due primarily to a decrease in cost associated with our South Hampton facility partially offset by an increase in personnel and consulting expenses. Selling, general and administrative expense increased by $1.0 million during the fourth quarter of 2019 compared with the same period in 2018 due primarily to an increase in personnel, legal, consulting and Investor Relations cost partially offset by a decrease in professional fees. Within total operating expenses for the fourth quarter of 2019, we reported approximately $0.4 million for non-cash stock-based compensation. For the fourth quarter of 2019, we reported a loss from operations of $6.2 million compared to $6.7 million for the same period in 2018. In the fourth quarter of 2019, cash EBITDA loss, a non-GAAP measure, which is calculated by adding depreciation and non-cash stock-based compensation to GAAP loss from operations was $4.0 million compared to $4.7 million in the same quarter of 2018. Interest expense for the fourth quarter of 2019 was $0.6 million, a slight decrease compared to the same period in 2018. For the fourth quarter of 2019, we reported a net loss of $6.8 million or a loss of $0.50 per share on weighted average shares outstanding of 13,659,944. This compares to a loss of $7.1 million in the fourth quarter of 2018 or a loss of $0.83 per share. In the fourth quarter of 2019, Gevo recognized net non-cash gain totaling $13,000 due to changes in fair value of certain of our financial instruments such as warrants and embedded derivatives. Adding back these non-cash gains, resulted in a non-GAAP adjusted net loss of $6.8 million in the fourth quarter of 2019 or a non-GAAP adjusted net loss per share of $0.50. This compares to a non-GAAP adjusted net loss of $7.5 million in the fourth quarter of 2018 or a non-GAAP adjusted net loss per share of $0.87. Having a strong balance sheet is important to moving our business forward, developing and growing our business. With that, I would like to thank all of our shareholders for their continued interest and support in Gevo. Let’s open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Amit Dayal from H.C. Wainwright. Your line is open.
Amit Dayal: Thank you. Good afternoon, everyone. Thank you for taking my questions. Hi, Pat. So just with respect to Luverne, is this fully green production now or will that transpire in 2021?
Patrick Gruber: What, I am sorry, fully green production you mean I am not sure exactly what you mean by that?
Amit Dayal: Yes, I mean, in terms of all the energy consumption is it all coming from renewables?
Patrick Gruber: Though the electricity is displaced. So what’s interesting about Luverne is that we have a large of it comes from South Dakota, where its hydro powered. And then we have 5 megawatts that are up now. And so that in essence takes us off the grid and so no more fossil-based electricity. So it gets rid of all of that. And then that’s enough capacity for us and our big plant as well, as we build it out. We would – when we add renewable biogas for our boilers next year that will take our footprint down further. We haven’t – we don’t I don’t think we need to get to zero renewable or zero fossil based energy. I will just – we don’t write our contracts that way that gets us down to zero, even though we see it’s possible when you include agriculture, to take us down to a net zero emission. With ethanol it is not the main focus we are trying to improve the margins for sure and lower the CI score for sure because that improves margins but at the end of the day we are very focused on making sure we got the hydrocarbon game all figured out.
Amit Dayal: With respect to the current market environment there is lot of volatility how is this impacting your financing plans for these capacity build out?
Patrick Gruber: Well what is interesting is that we have good take-or-pay contracts. They are back by real players the people who are under NDA know who it is that we are talking with next for the next set of gallons they can seem the real players and the ESG funds and other people who are keep talking about sustainability are moving away from fossil based resources what are they going to invest in? You can invest in wind, you can invest electricity. What are you going to invest in you can electric cars yes sure batteries yes but you know what our solution is different our solution goes for the potential for enormous portion of a gallon it is not the whole gallon and we can drive the carbon footprint extremely long we have been able to prove that and like as in eliminated so that is pretty darn interesting for people and the process technology works. So you put that story together, you put it together in project and here is what Lynn has done a great job of going through putting in the very detailed project pro formas with all the class and bake them all in what and at the end of it the returns are pretty good and that catches people’s attention hence hey we have got a good list of strategic advisors that we are talking to we are going to pick one and they think it plays I think it plays based on the feedback from the funders that we talked to so far I think it plays did you want add something Lynn here.
Lynn Smull: Well I was also going to point out that the lead time for these projects is long as you can imagine so current market conditions today have some time to work through the system before they would ever impact what we are doing project finance people the profession the discipline is much more dampened and looks over the long term so we are continuing development and financing activities on those projects.
Amit Dayal: Your commentary on this topic one is the airlines seem to be looking for bailouts etcetera I know your time line is 23-24 for bringing all of this into commercialization but this potentially impact your discussions etcetera with these partners?
Patrick Gruber: Well what’s interesting is we have already sold more gallons into the jet market than I was originally counting on so I pre-sold them we are going to get a bunch more but there it is a people who have a long run view in a different kind of an issue different kind of problem they are trying to solve then an airline per say So it's trying to – people trying to position themselves greatly in line with supply chain but remember our business and this is an extremely important point we make both isooctane for gasoline and jet fuel we can control the ratios isooctane generally is worth more money per gallon than jet fuel that everyone should keep in mind that I have mentioned it many times over the years and so we are keen on selling isooctane and we like that what we see coming down the road at us in additional contracts should be awaited I expect towards Isooctane that is a good thing and that is because Isooctane market is people believe it is going to be short in the future as octane at the pump needs to increase so that is okay now regarding the bailouts I have I guess briefed several times a day right now from potential legislation it is pretty interesting there is definitely going to be a bailout right now the number that is running around it is $50 billion, $200 billion worldwide there is actually proposals that to loan money to airlines and then that they there is even one proposal I saw from I actually like this one of course but it is that yet the loans could diverted or reduced as they used sustainable aviation fuel as the feedstock. But who knows, they are going to get helped the world have to have airlines and so yes this is the problem they are strategic industry they are going to get bailed out there might be some consolidation but it has not impacted anything we are doing but again like I said we have not been today at this date and time we haven’t been trying to rack up gazillions of gallons of jet fuel. We are trying to keep a balanced portfolio approach.
Amit Dayal: Right. That makes sense and that’s a good comment, Pat. On the commercialization front, you – it looks like plans have changed a little bit from the last quarter update you are looking at more of a developer and operator owner versus majority owner?
Patrick Gruber: Right.
Amit Dayal: Is this coming from sort of the parties you are having this discussion with or are you sort of trying to minimize your risk? How did the economics play out in this type of a scenario for you?
Patrick Gruber: Well, what’s interesting about the reason for it is previously remember we had a goal of 10 million gallons per year of hydrocarbon. So we can make a business and be a pretty good business and very profitable. That would be the first stepping stone. What’s happened is we have secured contracts for 17 million gallons per year. That’s bigger than I originally though we might do at Luverne. In fact, I haven’t decided that I am going to do 17 million gallons at Luverne. I might cut it back, but it could be up as high as 20. So that’s sort of what we are looking at. However the gallons that I see coming at us in the near-term in the contracts are way, way bigger than that. In which case then, I get to think about a separate site much larger than Luverne. And as we do that, we got to do kind of the balanced portfolio thing on production as well. And we got delivered in the same timeframe. What that means is now there is more gallons available to support us on for licensing or we are going to be the plant operators, that’s for sure, because this is a new technology, we are expect in it. We got to teach people how to do it. So we will get paid for that. We get paid for development along the way. And this is – people used to refer to this as a capital light model. I know that one of the concerns that shareholders have had is well, God, Pat, how are you going to raise all that money for the equity portion of the capital? Well you know what, because we have so much business coming at us, we don’t have to. There is other people who are interested in that. And so Gevo’s cash flows would come from the various fees. Lynn, you want to comment further on this, just outline the fees?
Lynn Smull: Well, yes, there is technology licensing fees during the construction period. Recovery of development capital at financial close is a common project finance structural element. So the money we use to develop the projects will be coming back out as out of the proceeds of financial close of the project financing. We will also perform a project management role during construction to ensure it gets built the right way and then we will be operator and asset manager, both those functions will tie us into the projects long-term and we will have carry on the back end, some type of residual equity interest that will negotiate with the third-party equity investors. And the projects are rich enough to support all of those streams for Gevo. So when you look at the actual dollars out for development capital versus what we can expect back on to the development model, it’s quite attractive and fairly low risk given the fact that we don’t start development until we know we have off-take contracts.
Patrick Gruber: Yes. And it’s pretty interesting game to play. And what enabled this was us being able to figure out the right pricing, so that it works for the customer and it works for ourselves and give the project returns. And that – and be able – that everyone could share that common view of what it might look like. That’s what’s changed and that’s because the world that large knows they are going to be able to held accountable for carbon and that’s not going away, even in this turmoil, it’s still not going away, maybe you could get a reprieve for a mother too. But you know what, remember what I said earlier, people keep asking me, well, gosh, you got gasoline, what about EVs or are they going to take over the market? Yes, no they aren’t, nobody predicts that. They might take a share of growth. And so do you think that people are going to tolerate spewing out these greenhouse gases into the future? Are they going to continue to show raise havoc in the future? That’s the question. So brands are already figuring it out that they got to do something. They aren’t going to get away from it. Legislation already is happening around the world. The EU RED II polices are good policies. France and Sweden have already made. They went down the mandate path for jet fuel. So the world has changed. It’s just hard to keep with it all these days.
Amit Dayal: And my last question to that is with respect to the cash in hand and your burn, how are we managing this in the current environment and are you comfortable with how you are situated right now?
Patrick Gruber: We started hunkering down a while ago, because I saw the reports from the coronavirus. And so in here we already started hunkering down. You saw that we reported that we had $16 million at the beginning of the year and we are going to spend every dollar wisely along the way. And that I think already the amount of money we had I think would have surprised people, because they were predicting us to have that much. And we will be managing our burn extremely carefully, still trying to move the ball ahead. Right now, we are hunkered down like everyone else, literally hunkered down, because of the way the world is working, but we have had many, many – everybody finance fronts, the people are all still working. So that’s good.
Lynn Smull: On the project finance front, we are all continuing to do our jobs, because literally for a project that won’t commence construction till next year for delivery in 2023, every task has to be done. The current market conditions really don’t impact that. So we will try and stretch it out further of course as you have to in this situation. That’s what you go to do.
Amit Dayal: And maybe one last one for you, with respect to project financing, is this something that could materialize over the next few quarters or is this pushed out a little bit further?
Patrick Gruber: No, the reality of developing a project to the level of sort of quality that meets the project finance disciplines requirements will take time to profitably develop it, mitigating risk and that is the discipline of project finances, risk mitigation and allocation to the parties that can best price the risk, for example, completion risk, we will have to get out of a global credible and capable EPC firm to take on performance risk. And that takes time. So there is a lot of engineering work that has to be done. And I also think that there is any possibility of the project financing materializing in 6 months.
Amit Dayal: Understood. And that’s all I had.
Patrick Gruber: So, Amit, what is interesting though is that we have had enough discussions to know that our story of what we are talking about here is something that they have occurred before. As soon as we start showing on the data around what we can do with jet fuel and gasoline and we are sitting there and talking of gasoline of doing whole gallons and look at here how we can drive it to net zero, even negative carbon emissions, that’s possible to do. We have that whole business system up and running of course. But that’s pretty interesting, because that can make a material difference. It falls square in the camp dead on for sustainability play. And it’s been de-risked absolutely as much as possible, because we have done all this stuff at full scale and it’s known – and the products is all working and are qualified in the marketplace. There is customers standing on the other side. That’s interesting. Now as equity players look at us, we have already had conversations where they save whom. If I am going to invest this here, at this project level, oughtn’t I invest it at the corporate level too? And these are questions that we just got to get down the road further to see how all of this unfolds and yet time matters, it does matter. And so we are trying to make fit those pieces together. Our next big thing, we are going to be hiring strategic advisor. That strategic advisor will look at all options for the company, because this is one of these cases, where to grow our business we need very large amounts of capital to grow the plants, right. And I think it will always be done at a project level for the first bunch of gallons. And we are going to get help from big guns who can help us. That’s what we are going to do. And I think it will be interesting to see that’s like – so we are looking forward to get on with the discussions, I don’t like the turmoil that we have right now in the marketplace obviously.
Amit Dayal: Thank you, Patrick. That’s all I have. Appreciate it.
Patrick Gruber: Yes, you bet.
Operator: And your next question comes from Poe Fratt from NOBLE Capital Markets.
Poe Fratt: Hi, good afternoon, Pat. Good afternoon, Lynn. Pat, I know you probably don’t want to tip your cards too much, but can you just talk about how you are looking at the additional sight that you are looking at, whether geographically, you find that you rather not be up in the upper Midwest or just sort of frame a little bit what you are looking forward as far as that site and what are the potential features you are looking at?
Patrick Gruber: Sure. As a – with the things that we consider are the cost of a carbohydrate that’s number one. This is a rank quarter. Number two, what goes with it is the sustainability profile of that? We can’t get have some of these products that people want to put forward, they just are not sustainable. I mean, I was in a discussion earlier today it was like you got to be kidding me. It’s like that carbon footprint is too high for that stuff. Yes, okay, it’s cheap. So if that balancing act of driving that footprint down how do we acquire those carbohydrate What does it made from? Does it fit the sustainability profile that we want for the long run number three would access to renewable energy renewable energy is important part of our story The greenhouse gas footprint that we would have in our products in large part would come from electricity and the use of natural gas and so we are keen on picking sites where we can mitigate those things who have the ability to mitigate those things number four would be transportation in and out we like rail in long run we can use pipelines but it is rail that matters most or good I cannot imagine that we would go somewhere that does not have rail and so we started looking at places and there are some interesting places I could see in California because that is closer to the where a lot of these markets going to be I can see places in the Midwest in the Pacific North West with these places that have been suggested down in the South East the way that I think this unfolds is we are going to have to partner with somebody who wants to do something else with their ethanol assets because ethanol margins really are bad. Like, as in, historically, never this bad before. That's just the way the market is. The only hope is that someone can save their ethanol business I think is to ship the way from ethanol to something else and it may that some places can lower the carbon footprint and not to make money by selling stuff in the California that could be something we can do or find out next year and if that works even from our Luverne plant. And that will help mitigate some cash but how are people going to solve their problems so what we have been doing as having a series of conversations with folk and it is going to come down to having multiple candidates and starting up the best deal all who meet those basic criteria, Lynn?
Lynn Smull: Well, it is a choice between straight up M&A acquisition financed inside of the project finance sources of funds or a joint venture of combination with the assets contributed inclined either way the markets are looking attractive for acquisitions or JVs at this point
Patrick Gruber: Yes people recognize that it is a better deal to take that asset it does not make any money or loses money and turned to something make a bunch of money and yes okay it needs investment but there is investors who want to invest so that is why I think I it unfolds.
Poe Fratt: So you are looking at essentially modifying an existing plant is that a short way of saying it
Patrick Gruber: Yes, yes always it is yes 
Poe Fratt: Any states are you at the point where you are talking about some state incentives or local incentives or is that too far down the road 
Patrick Gruber: That would be our next step and that definitely goes into the thinking of what we might pull off and might be available jet fuel SAF is interesting because people do want it and it is a part of the long run plan even though it is hard to believe in this day and age where people are worried about their existing but they are going to get bailed out and this octane thing is a big deal. So that's one that everyone always wants as you shove aside because they don’t want to think about but really EV’s can do so much I am telling you like look at all the projections for the future how much gasoline is planned or being sold it is enormous but it is also going to higher octane gasoline it is has to because of the high the engines that get higher mileage we cannot solve that problem.
Poe Fratt: And then in between because you were talking about 17 million gallons per year at least and then scaling up potentially to 70 million gallons per year on your base and you have contracts over 17 million already so what component what is your preferred ratio of ISO to essentially SAF? Have you sort of thought about that is it 50-50 or 25-75 or sort of what component of that production or that hydrocarbon capacity would be ISO versus SAF?
Patrick Gruber: Well it is I think 50-50 is a good place to think about, and that's kind of where our things are kind of unfolding. And what's interesting about it is, this technology lends itself that we can swing it around a bit so even if I have an asset that is hydrocarbons I have an asset that is hydrocarbons I can change ratios on the fly if I want so we don’t have to lock in and build out for any one particular dedicated thing but where the way our contracts are unfolding it is kind of split 
Poe Fratt: And then when you look at sort of this perfect capacity would you look at having some available from a merchant standpoint or would you be looking at just your take-or-pay?
Patrick Gruber: We primarily have it driven by take-or-pay – reserve some capacity for the merchant market, because as you know from other businesses when this happens you are building the spec like we are under take-or-pays. Having some merchant capacity is usually very profitable, because other people need to get the product and the only way you can get it is from people like us.
Lynn Smull: Right. And I think third-party equity third-party equity investors in the projects will also opt to have a bit of optionality on the spot.
Poe Fratt: Okay, yes. I was sort of thinking 85:15 or 75:25, as far as 15% to 25% of capacity that potentially gives you that optionality?
Lynn Smull: It depends a little bit on the dynamic on the debt side and calculating debt service coverage ratios under stressed cases as to how much we need to have contracted vis-à-vis spot, but I think that’s a decent starting point, but maybe a little less.
Patrick Gruber: Yes. And I think the way it will come out because of we are doing the first – these are the first projects, it will be less probably. That’s what I think. We can just – for exactly, the reason is the way the analysis gets done is you look at all the things that can go wrong and plan for those. And if the economics still look like you can cover debt and make some money, then people go okay, well, that’s what our model shows, we should be able to do all that, survive all that and – but even with some of the capacity.
Poe Fratt: And hopefully…
Patrick Gruber: Yes, it won’t be 15%, I know, but this is an ongoing discussion.
Lynn Smull: I think in future projects after we get what we call bundled one done and improve that concept that future projects will allow for a little bit more risk taking on the spot. Yes, go ahead.
Poe Fratt: Yes. And I was going to say we should get up the learning curve and that you bottleneck and potentially with the engineering improvements, I mean, typically refinery capacity group has historically been in the 3% to 5%?
Lynn Smull: Yes.
Poe Fratt: Lynn, when you talked about the different fee streams and then the one that I think it was the big component was that recovery of development costs at financial close. Can you put a number on that recovery of development cost at financial close or is it something that will be dependent on the timing of when you actually do the financial close?
Lynn Smull: There are number of things, that’s dependent on and for example, we could align ourselves with an EPC contractor earlier rather than later that would do the bulk of what we call the FEL 3 engineering that could save quite a lot of money. But generally speaking, it’s an expense that’s absolutely required to get a project to close.
Patrick Gruber: And then you get it paid back as the project closes. And so the overall, the amount of the – it’s a work – the way we think about it is pretty much of a standard development model. There is one twist though. We own all the intellectual property. We are the experts in it. And so that makes it a little bit different in how the things go. We also are the market-makers. This is another subtlety about this business model. We are the people out there and continue to be out there developing the marketplace and writing contracts. We see that off into the future as well.
Lynn Smull: It’s different. So there is the developer sort of TopCo, DevCo/yieldco model that you might see in some of the other renewable power sector, it’s a completely different model. Because of the nature of our unique technology, we are not selling just the ability to snap together power projects. We are selling the technology itself. And we are actually developing a market that is much different than responding to say RFPs for power projects. We are in a dynamic and growing market instead of one that’s relatively flat. So our developer characteristics are substantially different.
Patrick Gruber: It is. And the other thing we will be active on a worldwide basis as well and that’s again another subtlety here. And in other places we might just simply take a licensing approach, for instance, in India there in India working with Praj. Those – and I don’t talk about it much. Those projects are moving forward. And so – and we finally we can announce who it is that the customer and how big the off-takes are, but that kind of stuff is happening we just can’t talk about it quite yet. And likewise in Europe it’s the same kind of thing is that there is a demand for these fuels and as it makes sense to ship them from Luverne, while everybody makes money if we do that and it works, it lowers the carbon footprint the way we want, but optimum? No. And so you start off in Luverne, but shortly you would be having a conversation who wants to play the real game in Europe, but the same criteria, what’s cost of product from what carbohydrate source, what’s the sustainability footprint look like, what’s the carbon score, what’s logistics to get it to who wants the product in exactly the right location. And that’s the kind of stuff we are doing.
Poe Fratt: Great. And then just if I could ask a couple, just two more if you wouldn’t mind on your build-out today, development costs, capital costs it required to do at least 17 million gallons per year, have you quantified exactly how much it’s going to cost to build a gallon of capacity?
Patrick Gruber: Well what we have talked about previously is that if we built out 10 to 12 million gallons a year that might cost 130 to 150 and if I am building 17 to 20, you might multiply by two.
Poe Fratt: And then when you look at the gating factor to refinance the white box debt, it looks like project financing is not going to be done soon enough to generate any funds to refinance those notes. What will – what’s the gating factor, because you make the statement in the press release that you expect to refinance it, can you give us an idea of how that’s going to happen?
Patrick Gruber: Yes, I think there is a couple of different paths. We have had – we are engaged with people who produce straight up refi type things and we have to figure out what the best deal is and we will do it. But there is say, I think that some of these people are interested in the projects that recognize that white box is there and we have to work through it and they recognize that, that’s an issue. And white box has been a cooperative partner with us too. So they also are trying to make money on this whole deal too and recognize that there is a growth business here potentially, we just got to get the right thing organized and get it financed the same way. So, I have a bunch of capable players around the table who are all we had to just figure out the pieces and this week, last week is crazy, next week probably is going to be crazy too, week after should be settling down and we will know what’s what, but in the meantime, all the discussions of the financings and who are working with, who the banker is as we get more color and get on with, who will want to this project really and when that changes things there is bridge financing solutions that I could do, we could do bridge financing things, we could do stuff like that. Lot of companies in that situation really have a piece of debt like that, they do that. So ideally, we want them to be paid off as or refinance as part of the overall build. Is this a question of who, what, where, how and we also have some strategics who are here waiting to see how the pieces come together. So we just got a lot of pieces that got to come together and sequence it, but going to go work it out.
Poe Fratt: Great. Thanks for your time.
Patrick Gruber: Yes.
Operator: And that concludes the question-and-answer session. I will now turn the call back over to Pat Gruber for final remarks.
Patrick Gruber: Yes. Thanks all for joining us. I appreciate it. I know you took time out your day and it’s like I said crazy world. None of us likes where our stock price is, I can tell you that and it doesn’t make a whole lot of sense given where the progress we have made in the marketplace. And I actually heat it. I look forward to the future here. We do have these big contracts in place and that creates a whole new set of options for us, creates a whole new level of discussions with players, more on the marketplace, but also in the financing world that we wouldn’t have been able to have before. And like I said with Lynn here who has been able to turn this stuff into like really solid project pro formas professionally done, here they are and they have been bought through, I can already see that they are attractive to get people around the table and talk to us. And of course the basic fundamentals, we have customers, the technologies work, the products are de-risked, this business works, how many other players are there out there really that can solve big time sustainability issues? I about fainted a few weeks ago when I was looking at projections of fuels for the future as everyone keeps asking me, well, what about those EV? Yes, I would say about the EVs, good for them, we need all of them. Although we can get good and it’s still going to be hundreds of billions of gallons of fossil fuels out for the next 30 to 50 years. That’s a problem. And it has to be dealt with it. Technology like ours does that. And you know what we will be able to find people who share that same point of view. So we are off to play this new game and get on with it. And yes, we don’t like the turmoil. Thanks a lot for all of your support and your investment. I appreciate it. Bye.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference call. Thank you for participating. You may now disconnect.